Operator: Ladies and gentlemen, thank you for standing by and welcome to the Diamond S Shipping Third Quarter 2020 Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. Thank you. It is now my pleasure to hand the conference over to the speakers today at Diamond S Shipping, Craig Stevenson Jr., Chief Executive Officer. Please go ahead.
Craig Stevenson: Good morning, and welcome to Diamond S' third quarter 2020 earnings call. Thanks for dialing in this morning. Before we begin the call, we'd like to draw your attention to our forward-looking statements disclaimer. We will be making certain statements about the future events that may or may not happen in the manner which we describe. Please read page two in its entirety for a disclaimer about forward-looking statements. Please turn to slide four. Here we have our operating performance. In the third quarter of 2020, our spot crude fleet earned approximately $20,225 per day. The spot product fleet earned approximately $10,375 per day, which includes our pool MR tankers, earning about $12,000 per day and our handy vessels earning about $5800 per day. All-in TCE, which includes spot and time charters was $21,400 a day and $11,100 a day in our crude fleet and our product fleet respectively. At Diamond S we look at operating earnings of our fleet, which we calculate as TCE less OpEx less G&A because we think it's important to highlight given the various ways these expenses get classified in the industry. The crude fleet generated $12,300 per day in operating earnings, while the product fleet, which includes our handy size vessels, generated about $3,000 a day. Our reported net loss was $9.7 million, and an EPS loss of $0.24 per share. EBITDA was approximately $27 million, and we've maintained our cash position of over $120 million with $60 million in available lines of credit. On the lower half of the slide, you can see spot earnings volatility during the second half of the year in relationship to the 10-year range, and last year, as you can see, rates are currently at the very bottom of the range. So far in the fourth quarter, we have booked approximately 58% of spot revenue days in the crude fleet at an average rate of just under $7,000 a day, and 60% of the spot revenue days at the MR fleet are fixed at approximately $9,500 a day, and 53% of our handy fleet is booked at about $6,000 a day. Approximately 15% of DSSIs fleet is booked on fixed time charters, which provides downside protection in the near term. Ironically, these charters were once seen as a negative and capping our upside. They are all above breakeven levels today, details from those time charters can be found in the appendix. On slide five, we show the impact of the global pandemic on the seaborne trade of crude oil and refined products. While global demand is expected to decline at 10% in 2020, from the prior year, the chart on the left shows a decline in seaborne crude and product volumes declining about 6% on the year. Inventories have been drawing which is positive, on average have estimated 72 days forward demand, down from 80 days during our last call. On the other hand decrease in inventories is accompanied by historic lows in refinery throughputs, and utilization. As we indicated since the beginning of the year, the storage play pulls our business away from historical tanker market fundamentals, and we're seeing some slight increases recently in floating storage during the fourth quarter, and thus far are likely to be connected to extremely low rate environment. On the graph on the right hand side of page five, we're showing another way to look at how low the order book is relative to an aging fleet. As of today, the order book is equal to 7% of the fleet compared to 9% of the fleet that is comprised of vessels that are 20 years or older. In my entire career, I've never seen this. Without a big pickup in orders there could actually be zero net fleet growth over the next few years, but experience tells me that's probably not going to happen. But it certainly is inching closer to a real possibility. We continue to see restraint on the tanker supply side, as well as the pandemic continues to linger into 2021. Owners of older ships will have tough decisions to make whether to put vessels through another drydocking. On slide six we show statistics relative to Diamond Ss fleet in Suezmax and MR class of supply and demand. With barriers to entry on new building orders, particularly in financing capacity and uncertainty around environmental regulation, growth looks to be limited in our segments. Seaborne trade shown on page six is forecast to rebound in 2021, both in crude and oil products. While demand for crude oil and refined products is not expected to rebound to 2019 levels, in 2021 we expect to see an incremental benefit from longer haul voyages, both in crude and products. The last point we'd like to make on slide seven is we've shown the asset values relative to 10-year average for both Suezmax and MR fleet. There is no doubt that pricing has decreased in 2020. We're close to the bottom, particularly on the older tonnage. We believe with continued disparity in values of older tonnage, particularly on the crude side, there is upside potential in asset values from here. Likewise, we expect that a large fleet of middle-aged vessels can generate better cash flows than from a smaller younger fleet, especially when considering the amount of capital employed to purchase assets at today's prices. And this is amplified by lower bunker prices. I'll turn it over to Kevin, our CFO to go through the financials.
Kevin Kilcullen: Thanks, Craig. I'm continuing on slide nine. The third quarter marked a major turning point in the tanker market as both the crude and product fleets delivered sharply lower results than the first half of the year. The carryover of rates from the stronger environment helped keep the quarter in balance, but product tanker rates and the transition of 28 of our vessels into the Norient Pool arrangement impacted the results on that side. Crude TCE ended at 21,300 a day for the quarter with MRs at 11.1. Our six handy size vessels have been considerably underperforming the rest of our product fleet. Third quarter EBITDA totaled $27.1 million down from $34 million last year, with $15 million contributed by the crude fleet and $12.1 coming from the product side. The fourth quarter outlook is sharply lower. We have 58% of Suezmax spot days booked at an historically low $6800 per day and 60% of MR spot days booked at $9400 per day. Given the right outlook for the fourth quarter, we do expect to be considerably below cash breakevens for the remainder of the year. In terms of this quarter cash flow generation was slightly negative. The negative fleet cash flow contribution after debt service and CapEx was offset by lower working capital employed due to the lower overall rate environment and movement of vessels into the pool. Continuing on slide 10. The third quarter was relatively neutral. Overall for the balance sheet, total debt declined by our scheduled amortization amount of approximately $34 million. Gross debt outstanding at the end of the quarter was $735 million. As previously mentioned, working capital employed in the business declined in the quarter. The liquidity situation at quarter end was solid with approximately $124 million in free liquidity available to the company after restricted cash and bank required minimum cash. Net debt to asset values as of our latest broker valuations provided at the end of June is approximately 39%. Moving on to slide 11. Overall on capital expenditures we are reiterating a very similar guidance to what we have previously provided to market, regarding cost of capital events. To answer a question I've received from several investors, the cost guidance that we give on our equipment projects is an all in number that includes the cost of the equipment, cost of engineering and design work, the cost of installation of the equipment, and all ancillary costs related to the project. These estimates may not be comparable to the figures provided by other tanker companies. Due to the tighter than anticipated spread between HFO and compliant fuel, we have postponed the scrubber installation that was initially planned for the first quarter of next year. Due to contractual obligations, we will be purchasing the equipment and moving it into storage. We may elect to install the scrubber on the Suezmax vessel in the future. Finally, from me on slide 12, we'd like to take this opportunity to update the market on our cost guidance going forward. The global pandemic continues to impact our operating costs. Our internal estimates are that OpEx was increased by approximately $400 per vessel day in the third quarter for the safe transition of crew and purchase of additional vessel stores due to the increased logistical complications associated with the pandemic. For 2021, we estimate daily OpEx to be approximately 7700 per vessel day on the crude fleet and 7300 per day on the product fleet. Depreciation and amortization figures are slightly higher than previous, as we have the amortization of new capital projects. On G&A, the overall number will be down relative to 2020, due to a reduction in shore-side staff as a result of the commercial outsourcing in product tankers. Off-hire guidance has been updated based on just [ph] the latest estimates for capital and equipment projects. I will now turn the call back over to Craig for summary.
Craig Stevenson: Before we open it up to Q&A, I’d briefly like to summarize our priorities during this unprecedented market environment to give a sense of how Diamond S is positioned and our management philosophy. First, commercial scale is critical. While we're happy with the size of our fleet, in June, we announced a strategic partnership with NORDEN. Where about 28 of our MR2) product tankers will be commercially managed by Norient Product Pool, including ships owned by NORDEN and others, the pool manages around 150 tankers, and is one of the largest operators of MR tankers in the world. We believe this enhances our commercial scale without forcing consolidation of assets. We're certainly in a position to grow our fleet, but will do so under certain circumstances. We are of course focused on maintaining our cash breakeven lows, which are highly competitive in both crude and product fleets. Maintaining a lean profile provides strong operating leverage and good markets, and more importantly acts as a buffer in weaker markets. This brings us to our balance sheet. In a weaker market in Q3 2020, we were still able to maintain strong cash positions without using a revolver capacity. We have a high quality debt under a traditional loan structure and a maturity profile through 2024. We have a modest CapEx program to maintain our ships and to comply with regulations. While we expect some challenges ahead, as the tanker market is impacted by the global pandemic, we believe Diamond S is well positioned with strong liquidity, modest leverage, industry leading breakeven levels to support the downturn and prepare for when the markets return. With the natural limitations of fleet supply and the need for tankers due to regional imbalances of oil, we expect the tanker market to return to fundamental supply and demand, as we work through the current inventory levels. Diamond S remains exposed to the volatility in the spot market, and will utilize our disciplined capital allocation in order to maximize our return to shareholders, while maintaining a healthy balance sheet. With that, I'd like to open it up the call to questions. Operator?
Operator: Certainly [Operator Instructions] Omar Nokta with Clarksons Platou. Your line is open.
Omar Nokta: Hi, thank you. Hi, Craig, and Kevin.
Craig Stevenson: Hey, Omar.
Omar Nokta: I just – hi, guys. I just wanted to maybe touch on one of the last points you're making just about the balance sheet, asset sales, use of capital. Last quarter, you really slowed down the buyback and given the uncertainty in the broader markets, not to mention, obviously, you know, the weakness we're seeing in tanker rates today. You know, you've sold an MR, I'd say at a fairly good price relative to what we've seen recent assessments coming in at. How are you guys thinking about the use of those net proceeds after you pay down debt? Does that cash start to get put towards a share buyback again, especially given the wide variance between the stock price and the – and NAV as confirmed, at least by the ships there?
Craig Stevenson: Omar, I would say that, you need to have a clear view of what the future sort of looks like on the spot market. And, right now, it's, you know, the reality is, it's in cash burn mode. And, and so once we can feel comfortable that there would at least on the, you know, on the backside of COVID, and air travel starts to pick up. A lot of issues are sort of tied to travel, and so travel probably represents something about 80%. And so without much travel around the world, it's a very, very difficult thing. But, I think this sale is - represents us very well, and to the extent that, that we can see other sales at relatively similar values. I think that that's a very smart thing to do, in light of this market. We do have some vessels that are ‘06s, ‘07s, and ’08 that would be good candidates for sale.
Kevin Kilcullen: Omar, from my perspective, I'll just point out that our repurchase basket under our debt agreements is tied to the company's net income, and therefore we don't have a basket, currently given the third quarter results. We're in constant dialog with our bank group, though. And I think if there were additional asset sales that materializes as Craig mentioned, there would be a dialogue with them about perhaps loosening up that for some of that excess capital. But as of now, certainly with the sale of the MR, we're going to keep the capital on balance sheet.
Omar Nokta: Yeah, okay. No, I appreciate that. That's fair. And then just, you know, Craig touched on, I was going to ask about further asset sales. And you mentioned the ‘06s, ‘07s, 08s. I was going to maybe ask if you could - you know, if you guys had identified whether there were certain characteristics or number of ships that you guys are looking to dispose off? I know, you're not sellers, per se. But when you can think about say the next six months and selling ships, is there a number of sales that you have kind of in your heads have thought about looking to dispose of here? And in terms of…
Craig Stevenson: Yeah, I mean, I wouldn't say it's a number per se, I would say that we do need to transition the fleet and older ships we have in the fleet in the ‘06s and they are handys, and they're not particularly desirable. The other issue is, you know, we've got a number of ships that are Ice Class that are not - really not utilized in ice, and so you're not getting any value there. And so - and then we've got a Suezmax, that is super high cost in operating costs, and it's got about every extra that you can put on a Suezmax, but the reality is, you know, it - we struggle with that ship on performance. And, and so those are the obvious ones, but I would say I'd say in this marketplace I mean, I think you always - I mean, we're ship owners, most ship owners just about every asset they have are always for sale at the right price. And so it's all about price.
Omar Nokta: Got it. Thank you. I'll leave it there and jump back in the queue. Thanks.
Craig Stevenson: Thanks, Omar.
Operator: Randy Giveans with Jefferies. Your line is open.
Randy Giveans: Hey, gentlemen, how's it going?
Craig Stevenson: Hi, Randy.
Randy Giveans: So I guess just looking at your fourth quarter ‘20, quarter to date rates, you know, your forward guidance, still a little bit below your peers. So around the Norient Product Pool, has that provided any utilization or rate benefit here in the last few months?
Craig Stevenson: Absolutely. We moved 28 ships in there. We've got one more to deliver into it after it comes off of time charter that somewhere around May, I think. But the performance of that decision relative to the industry is absolutely achieved what we expected it to achieve, actually, a little more, quite frankly. And so it's very much put us back into that sort of that tight band of top performers. And in some cases, through -- the perform - those other competitors actually have a much, much higher degree of eco ships and scrubbers and all kinds of things where as we don't. So we're very pleased with that. The handys are the handys, that's a totally different market. And it's ice. And so the performance of those is more or less - it sort of gets back to Omar's question about asset sales. And then, you know, the performance that we're looking at very closely today is our Suezmax performance, which is substandard. And so we are basically taking the same type of approach that we took when we looked at our - fixing our hiring [ph] hours. And so we'll look at any and all opportunities to improve that performance.
Randy Giveans: Got it? And then you mentioned there that you're Handysize is - certainly be still laggard in that. Do you view those as kind of core to your business? Are you purely or do you want to be purely as Suezmax MR operator?
Craig Stevenson: Yeah, I think right now, we're - we'd like to be known as MRs and Suezmax. And so we've got some handys. And we've got - we got some Aframax’s. I mean, I will say that our oldest Suezmax is basically performing sort of negative numbers relative to the other ships. And so, when you have some ships acting as negatives, I mean, your average is just going to get crushed. And clearly, it was crushed. And so, you know, I think a lot of those things sort of get you - get your mind completely focused on performance. And, and so we clearly are, I mean, I feel like the decision we've made with Norient has been a great one. And they have an enormous footprint. And, and so, I think they have 82 today MRs. And so 28 of those are ours. And so we performed - the performance is basically what we had hoped it would be.
Randy Giveans: Got it. And then I guess last question here, there's certainly been some discussion around the crude tanker market versus the product tanker market, which one is better positioned here in the near term. So, as you operate in both the crude and products tanker market, which market are you more bullish on here in the coming months?
Craig Stevenson: I mean, it changes. I think in previous quarters, I would say the crude business is the place to be. Both businesses are generating cash losses today in the spot market. And certainly on a ship basis, they're higher in the crude side. Its tough to call [ph], I think almost all the answers that the shareholders want and then the analyst want are, when are you going to get on the other side of COVID? Because until you get a handle on COVID, it's very, very difficult to sort of predict what market is going to do, what they're not going to. So somebody asked me today or what do you think the winter is going to do? Freight rate was? I don't think anybody has a clue, quite frankly. And so Europe is absolutely going through lockdown. The United States is talking about tightening if you will, of what the population could do. And so it's very difficult to predict that. So I don't know. I would say some people predict that the spot market on the products is actually going to pick up first. It's hard to tell. I don't think I'd venture to pick one over the other. I think they are linked, as we all know. And so I think we need to get back to a more normalized market. You see days forward of inventory levels are starting to get in line. They still have a long way to go. I think if you look at India's consumption today, and you look at China's consumption today, they're back to pre-COVID levels, super positive, but we need the rest of the world to follow soon, so.
Randy Giveans: First off, thanks for the robust answer there.
Kevin Kilcullen: Thanks, Randy?
Craig Stevenson: Thank you.
Operator: [Operator Instructions] Ben Nolan with Stifel. Your line is open.
Ben Nolan: Hey, good morning. So, Craig, I'm interested by one of your responses there, specifically around maybe to Omar's question around, the Suezmax's. It could just be me. But it seems like that's always been a little more dear to your heart, I guess, then, then the product side? Am I reading your words incorrectly? And that may, you know, you're possibly looking at doing a pool arrangement there somewhere what you've done on the MRs, given the performance that you've had there? Is that sort of what you're saying at least that you're open to?
Craig Stevenson: We certainly going to look at it, is the way I would put it. But I would not say that there has been any decision. We've actually talked to a number of people about it. It's not as big of a marketplace and opportunity as the product side of the business. So you had a lot of choice and competition. And, you know, we have very robust competition amongst all the pools, and some pools that do well and other pools don't fit you well. For instance, it's all about your net, net, net at the end of the day. And so there are a handful of people that do that for a living in the Suezmax side. But I don't think there is - I would say it's not as obvious. But we are committed to improve the performance of the Suezmax’s period.
Ben Nolan: Okay. Well, it will be interesting to see how it plays out. Kevin, I wanted to ask you real quick, that $66 million facility is coming due next year. Obviously, I assume you're looking to refinance that, but you sort of think through that process and you know, how much you might be willing to draw down or leave outstanding versus maybe even pay a whole lot of it down? How are you thinking about sort of that process on refinancing and cash retention and the balance of interest rates and all that sort of thing?
Kevin Kilcullen: Yeah, it's a good question. A couple nuances to that. This is a facility on our two vessels, on buyer [ph] joint ventures. So we actually only control half of the equity interest in this and we do have a partner that is - will be involved in this decision making. It's also makes it a little more difficult for us to give corporate guarantees on the facility, which impacts its attractiveness relative to some of our other debt with the mainline shipping banks. That being said, there's been a pretty good dialogue so far with the existing banks there. We're relatively confident that at a baseline we can replicate what's in place today. I'd say those are two extremely attractive assets too. They're very modern Suezmax’s with scrubbers installed both on time charters through 2022. With an oil major [ph] So if there was the need or the desire to increase the leverage, they're probably not with - not at the same cost that some of our other facilities are at. But we believe that's possible as well.
Ben Nolan: Okay. And then lastly, for me, and Craig, you talked about asset sales, and the ones that really jump off the page are, as sort of has been mentioned as Handysize vessels, but I noticed that five of them are subject to or scheduled for drydocking next year with ballast water treatment, just thinking through that maybe the timing or sort of how it works best. I mean, from your perspective, is it better to sell those prior to going through the whole drydocking process? Or do you give something up in terms of the retail value or resale value, if a bunch of CapEx is needed on the front end?
Craig Stevenson: Yeah, I mean, I think all of us are sort of - were caught by this, the COVID deal. And so COVID basically shut down your ability to sell for the last - in large part for the last six, nine months. And so I would say go ahead and sell those assets now. I think they're not strategic to our effort. And so they're smaller, they're in large part ice class. And so those ships really don't fit with what we want to do.
Ben Nolan: Okay. So that would obviously would save some on your future CapEx commitments as well or needs, so that you kind of get two fold benefit there?
Craig Stevenson: Yeah, fingers crossed. So we'll see what happens.
Ben Nolan: All right, sounds good. Appreciate it, guys.
Craig Stevenson: Thank you.
Kevin Kilcullen: Thanks, Ben.
Operator: There are no further questions at this time. I will now turn the call back over to CEO, Craig Stevenson Jr. for final remarks.
Craig Stevenson: Hey, thanks, everyone. Its tough time for shipping. I think every answer that we the management team, we the shareholders want to have is, is when do we get back to a more or less a normal world. And in the meantime, we need to be super-sensitive to hanging on to as much cash as we can. And that's difficult in a freight rate environment that we have today. I can say to everyone that we are super-sensitive about that. And so we'll continue to do as much as we can to retain cash and still maintain optionality going forward. I think once we come on the other side of this, the order book is incredibly bullish. And so we, you know, the next quarter or two is going to be tough, and we'll just have to get it up. So thanks for your support. I really appreciate it and we'll do the best for you. Thank you.
Kevin Kilcullen: Thanks, everyone.
Operator: This concludes today's call. We thank you for your participation. You may now disconnect.